Operator: Greetings, and welcome to the EPAM Systems Fourth Quarter 2019 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host David Straube, Head of Investor Relations. Thank you, sir. You may begin.
David Straube: Thank you, operator, and good morning everyone. By now, you should have received your copy of the earnings release for the company's fourth quarter 2019 results. If you have not, a copy is available at epam.com in the Investors section. With me on today's call are Arkadiy Dobkin, CEO and President, and Jason Peterson, Chief Financial Officer. Before we begin, I'd like to remind you that some of the comments made on today's call may contain forward-looking statements. These statements are subject to risk and uncertainties as described in the company's earnings release and SEC filings. Additionally, all references to reported results that are non-GAAP measures have been reconciled to GAAP and are available in our quarterly earnings materials located in the Investor section of our website. With that said, I would now like to turn the call over to Ark.
Arkadiy Dobkin: Thank you, David, and good morning, everyone. Thanks for joining us. With our recent Investor and Analyst Day in November 2019, we spend some time speaking about the challenges our customers face, while improving productivity to speeding up business results in an increasingly competitive environment. We talked about the necessity for most of our customers to transform themselves into adaptive enterprises, because the way we see it adaptiveness is a key puzzle that must be solved in order to compete effectively. And in turn to be the best partner to our clients and help them solve the challenges. We understand that EPAM needs to be a fast global and highly adaptive organization itself. Well, obviously, most of our competitors have also been talking about transforming into modern [ph] players. We try to explain work in November, why recently EPAM is already fully adoption or distributed agile delivery models and close collaboration, so I have three teams in product centric engineering practices is positioned better than most to be successful in solving the corresponding challenges. And that we are planning to do to make sure those goals are not just words, but the direction for an actionable efforts and practical investments. Now three months later, we can share our full year financial results as well as revisit several points we talked with you about back in November. We finished 2019 in strong fiscal position across several dimensions in our business. Financially, we landed at $2,290,000 in revenues reflecting 25% year-over-year constant currency growth. And non-GAAP earnings per share were $5.42, the 23% increase over fiscal 2018. Additionally, we generated $188 million of free cash flow for the year. On the people front, we added 6500 addition to our EPAM headcount across our client facing teams and corporate functions. Also, in 2019, we were focused on extending our client engagement configurators through more of our sales and account management functions and establish a comprehensive consulting culture. We launched EPAM Continuum, our brand that integrates our capabilities and business technology and experienced consultant. EPAM Continuum along with our core product engineering capabilities brings to the market an integrated approach to solving complex problems, by engaging a team of practitioners that can respond across multiple organizational touchpoints to help our clients address the challenges of the adaptive enterprise to meet an objective [ph]. In addition to launching our consultant pushing forward, we also saw an increased demand for companies that truly understand how to build differentiated business platforms, how to best of breed components connected through intelligent APIs. We have seen this component built strategy gained more traction in the market as enterprises start to orient away from few of the shelf models towards more product centric go to market and solution strategies, which is very much in line with a prediction made five years ago by a leading analyst organization, who stated that by 2020, 75% of digital enterprise applications will be built versus buy [ph]. They also clarified that their research shows that many companies already favor a new kind of build that doesn't include out-of-the-box solution, instead a combination of application components, that are differentiated, innovative, and non-standard software, as well as a highly customized solutions will be increasingly adapted. We sync our product engineering D&A really help us to become five years ago much more relevant in terms of market because of these trends. We believe that this intelligent component build capabilities will become even more important beyond 2020 as speed and differentiation pressures continues to push our customers to change the way they look their technology, business processes and organizations. That is why in 2019, we expanded the number of our strategic partnership relationship to go far beyond of just formal understanding of those critical components and create valuable usable accelerators and very much advanced level of engineering expertise around them for increased speed and reliability of this complex and differentiating build solutions. This specifically covers such components in our cloud first automation data and engagement practices. In 2019, in addition to building our capabilities organically, we continued our strategy of targeted competency driven acquisitions to support our practices in data, dev test cycles, and our growing consulting opportunities, which expanded our expertise in cloud data integration, AI-based and SaaS cloud sourcing test and analytics. Just to name a few. We also diversified our global presence, both from client and delivery perspective and operate now in more than 30 countries. We often speak about our efforts around education and training is one of the key drivers for future scalability. We have always done this for both internal and external audiences in terms of our current and future employees. But 2019 became a very important year for us because we took our education capabilities to a new level of professionalism and now ready for the next level of investment in the area is much more confidence than in the past. Last year through our learning platform, EPAM University and a variety of boot camps and [indiscernible] and development efforts impacted more than 10,000 people, engage and develop our own talent and train new experts in our core delivery markets. And its growth effort from launching our pilot master's in software engineering program in Eastern Europe to extend an hour, CSR education efforts across 19 countries to reach more kids than ever before. Both in 2019, we brought our experience in developing and delivering integrated and interactive assessments and training platform to our clients. If you remember, at some point, we share it a brief case study with an automotive client who trusted us to deliver a program for the employees. They are happy to share that last week, EPAM was one of only 10 companies out of 400 that was recognized in Daimler [ph] groups, global suppliers. The Innovation Award was presented to EPAM for the program tailored to the Daimler IT team for helping them to transform their organization, digital knowledge. Now to conclude on 2019 and to reach into 2020. With all of these initiatives in mind, in 2020, we will continue to focus our investment into real programs that supports our ability to execute our growth strategy. As you can see, some programs began in 2019. But when you will focus on making continuous and sometimes significant upgrades, including consultant in industry expertise, people developmental education and engagement, I think it's also important to remind that being in engineering driven company is still a key area of focus for us. And we would like to stay firmly ahead of the competition. In addition to the education and training activities mentioned before, this also includes our investments in open sourced best engineering productivity tools, as well as internal global delivery and infrastructure platforms that we are continuing to expand and evolve, to provide a higher level of collaboration, knowledge management, and deep understanding of our internal and external talent, basically making those platforms even more comprehensive and intelligent to support the speed and skill they need. I think to conclude my part, I will provide a brief summary of our ambitions for 2020. The ability to transform ourselves into adaptive enterprise, real key to driving our future success. And we understand that we need to continue to disrupt ourselves in the world at accelerated pace to make it happen. Together, we need to become one of the best in the world in innovation and design consultant, education and social responsibility, while continuing to strengthen our core engineering capabilities. So, we'll have to continuously invest in adapting our people platforms and processes into those that quickly respond to change, leveraging our existing global indices, distributed delivery environment to build and bring to life the EPAM digital platforms that connect our people and enables them to work seamlessly, making us more efficient and effective in all that we do. Opening opportunities for transformation for everyone, anywhere through next-gen delivery as well as educational, social, innovation programs. And lastly, extending our leadership across integrated consultant and engineering. We realize that this ambitious goal and the growth goals before us are even more challenging as we become a more global complex and dynamic organization. So, our investments continued to be focused and we continued to stress our ability to see and respond to change as a core values it goes back to EPAM early days. With all of this in mind, and despite some of the macro level uncertainties, we are constantly watching, and we are looking at 2020 optimistically. We believe that we can continue to remain relevant to our global and diverse client base through our ability to execute large scale digital transformation program and help them with their ambitions, innovation programs [ph]. I will turn it over to Jason for detailed financial update of last year and our guidance for 2020.
Jason Peterson: Thank you, Ark, and good morning, everyone. I'll start with our fourth quarter financial highlights. All with industry vertical performance and then touch on a few operational highlights, ending with guidance for fiscal year 2020 and Q1. Revenue for Q4 came in at 632.8 million, a year-over-year growth of 25.3% on a reported basis or 24.8% growth in constant currency, reflecting a positive foreign exchange impact and 0.5%. We saw higher than expected revenue for Q4 driven substantially by an uptick in demand in the second half of the quarter, as well as stronger performance from a few of our acquired companies. In the FX benefit due to the strengthening Russian ruble. Growth in the quarter was broad based across our client portfolio. Some of the trends in growth include customer engagement, ecommerce re-platforming, scaling new models to drive client's future growth, product and platform engineering and application modernization, regulatory activity, data and data analytics and education. Looking at our fourth quarter revenue growth across our industry verticals, Software and Hi-Tech grew 24.5% in the quarter. Financial Services delivered 21.8% growth, Life Sciences and Healthcare grew 20.3% in the quarter, reflecting a tougher year-over-year comparison given the exceptionally strong performance in Q4 FY2018. And Travel and Consumer grew 15.9%. Rounding out our vertical performance, we saw a very strong growth in both business information and media which posted growth of 38% and our emerging vertical which delivered 36.3% growth driven primarily by clients in telecommunications, and energy. From a geographic perspective, North America, our largest region representing 60.1% of our Q4 revenues grew 22.2% year-over-year. Europe representing 32.7% of our Q4 revenues grew 31.4% year-over-year plus 31.7% in constant currency. CIS representing 4.9% of our Q4 revenues grew 39.7% year-over-year and 27.7% in constant currency. And finally, APAC grew 5.4% and now represents 2.3% of our revenues. In the fourth quarter, growth in our top 20 clients was approximately 22.1% and growth outside of our top 20 clients was approximately 27.7% compared to the same quarter last year. Moving on the income statement, our GAAP gross margin for the quarter was 35.2% compared to 36.8% in Q4 of last year. Non-GAAP gross margin for the quarter was 36.7% compared to 37.7% for the same quarter last year. GAAP SG&A was 19.8% of revenue compared to 19.3% in Q4 of last year, and non-GAAP SG&A came in at 18.1% of revenue compared to 17.7% in the same period last year. SG&A in Q4 reflected investments to create new capabilities, expand infrastructure and introduce new lines of business. GAAP income from operations was $84.7 million or 13.4% of revenue in the quarter compared to $78.3 million or 15.5% of revenue in Q4 of last year. Non-GAAP income from operations was $107.6 million or 17% of revenue in the quarter, compared to $93.1 million or 18.4% of revenue in Q4 of last year. The year-over-year comparisons for both gross margin and income from operations reflect a lower level of utilization as a result of our decision to increase the rate of headcount additions in the second half of fiscal year 2019. Our GAAP effective tax rate for the quarter came in at 12.1%, which includes a higher than expected level of excess tax benefit related to stock-based compensation. Our non-GAAP effective tax rate, which excludes the excess tax benefit was 20.7%. In Q4, both GAAP and non-GAAP tax rates were favorably impacted by one-time adjustments related to prior years. Diluted earnings per share on a GAAP basis was $1.29 and non-GAAP EPS was $1.51, reflecting an 18.9% increase over the same quarter in fiscal 2018. In Q4, there were approximately 58 million diluted shares outstanding. Turning to our cash flow and balance sheet, cash flow from operations for Q4 was $124.6 million, compared to $123.1 million in the same quarter for FY2018. In Q4 FY2018, DSO improved by eight days versus a three-day improvement in Q4 FY2019. Free cash flow was $77.6 million compared to $113 million in the same quarter last year, resulting in an 88.9% conversion of adjusted net income. DSO was 72 days compared to 75 days at the end of Q3 fiscal 2019 and 73 days in the same quarter last year. The lower than average DSO this quarter was the result of our ongoing operational focus in this area. Moving on to a few operational metrics, we ended the quarter with more than 32,500 delivery professionals a 21.7% increase year-over-year and a net addition of more than 1000 production professionals during Q4. Our total headcount ended at more than 36,700 employees. Utilization was 77.9% compared to 80.2% in the same quarter last year and 76.1% in Q3. Turning to the results for fiscal 2019 revenues for the fiscal year closed at $2.29 billion or 24.5% reported growth over 2018 for a constant currency growth of 25.8%. During fiscal 2019 our acquisitions contributed approximately 1.5% total growth. GAAP income from operations increased 23.2% year-over-year and represented 13.2% of revenue for the year. Our non-GAAP income from operations was 389.2 million an increase of 23.5% over the prior year and represented 17% of revenue. Our GAAP effective tax rate for the year came in at 12.8% excluding the impact of the excess tax benefits and certain onetime adjustments. Our non-GAAP effective tax rate was 21.8%. Diluted earnings per share on a gap basis were $4.53. Non-GAAP EPS, which excludes adjustments for stock-based compensation. Acquisition related costs was $5.42 reflecting a 23.7% increase over fiscal 2018. In fiscal 2019, there were approximately $57.7 million weighted average diluted shares outstanding. In fiscal 2019, cash flow from operations was $287.5 million compared to 292.2 million for fiscal 2018 and free cash flow came in at $188.1 million reflecting a 60.2% adjusted net income conversion. Now let's turn to guidance, starting with fiscal 2020. Revenue growth will be in excess of 22% for both reported and constant currency. Inorganic contribution for the full year is expected to be approximately 1%. We expect GAAP income from operations to be in the range of 13% to 14% and non-GAAP income from operations to be in the range of 16% to 17%. We expect our GAAP effective tax rate to be approximately 14% and a non-GAAP effective tax rate to be approximately 23%. Earnings per share, we expect GAAP diluted EPS to be at least $5.56 for the full year and non-GAAP diluted EPS will be at least $6.30 for the full year. Expect weighted average share account at $58.8 million fully diluted shares outstanding. The Q1 of FY2020, revenues will be at least $642 million for the first quarter, producing a growth rate of at least 23% for both reported and constant currency. For the first quarter, we gap income from operations to be in the range of 12% to 13%, in non-GAAP operations to be in the range of 15% to 16%. We expect our gap effective tax rate to be approximately 5% and non-GAAP effective tax rate will be approximately 23%. Earnings per share we expect GAAP dilutive EPS will be at least $1.27 for the quarter and non-GAAP EPS will be at least $1.36 for the quarter. We expect a weighted average share count of 58.3 million fully diluted shares outstanding. Finally, a few key assumptions that support our GAAP to non-GAAP measurements. Stock compensation expenses are expecting to be approximately $74 million with $18 million in Q1, $17 million in Q2 and $19 million in the remaining quarters. Amortization and intangibles is expected to be approximately 11 million for the year evenly spread across each quarter. The impact of foreign exchange is expected to be approximately a $9 million loss for the year spread evenly across each quarter. Tax effective non-GAAP adjustments is expected to be around $20.5 million for the year with a $5.3 million in Q1 and approximately $5.1 million in each remaining quarter. We expect excess tax benefits to be around $34 million for the full year with approximately $14.5 million Q1, $9.5 million in Q2 and $5 million in each remaining quarter. One last point on our business outlook, we expect the profitability profile of fiscal 2020 to be more similar to that experienced in fiscal 2018 with lower utilization and profitability in the first half of the year, with improvements in the second half of the year. So, in summary, our 2020 outlook reflects continued strong demand for our services underpinned by the diverse set of industries we serve, which provide EPM with a broad range of growth opportunities. Our investments across our people, platforms and processes will equip and position EPAM for future growth. With that, let's open the call for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Margaret Nolan with William Blair. Please proceed.
Margaret Nolan: Thank you. Good morning. Jason wanted to follow-up on that last comment kind of the cadence of the year the first half versus the second half. What is contributing to that lower utilization and profitability in 1H and why is it going to improve in the second half of the year?
Jason Peterson: Sure. So, the traditional pattern for the company has been higher profitability in the first half and lower profitability in the second half. In 2018, we ran with that very high utilization in Q1, which is, which was 80%. And we don't expect to run at that level utilization in Q1. And I'll talk about a couple things. So, first, we've got fewer available bill days in the first half of the fiscal year than we have in the second half. So that generally has more buildings, has a positive impact on profitability. The other thing is we've got some impacts in Q1, I think most of us will be aware of payroll taxes kicked back into the extent that they've been capped in certain geographies, particularly the U.S. and Russia. They're uncapped as you start Q1. So that has a significant impact on costs in the first quarter relative to Q4. The other thing we have our significant amount of our compensation increases actually occur in Q2. And so, both of those impacts tend to have a somewhat toward moderating impact on profitability. When we get into the second half, we've got greater bill days, we begin to see more capping of the payroll taxes. In generally, what we expect to see is that - we're going to keep an eye on utilization with a focus on keeping that around the range where we're at now with some potential for improvement.
Margaret Nolan: Okay, great. Thank you. And then Arkadiy, you talked about continuing to be and that adaptability is important. So, I'm wondering as you think about that concept is there a risk here that certain initiatives would cannibalize other opportunities that you already have in place? For instance, the education capabilities and services does that ever cannibalize your opportunity for other services with clients? How should we think about kind of that changing dynamic as you are an increasingly more adaptable organization?
Arkadiy Dobkin: Hopefully, when people talking about it, it means that we're trying to improve speed to market. Basically, what well - what changes our clients experiencing, we will be able to change our [indiscernible] to help being in specific value and doing this fast. So, I don't think it's about typically one over another, like our educational service is not really compete what [indiscernible] our core capabilities. So, because from our point-of-view when you educate clients so you can eventually work with this client much more efficiently and improve overall speed. That's a real goal for us to, University of this area [ph] for example. And for any specific example, probably we can use similar explanation [ph].
Margaret Nolan: Okay. Understood. Thank you.
Jason Peterson: Thank you.
Operator: Thank you. Our next question comes from Ashwin Shirvaikar with Citi. Please proceed.
Ashwin Shirvaikar: Hi Ark. Hi, Jason. Congratulations on the good quarter. I wanted to start this relative question. I wanted to start as well with a question on margin. So is the incremental push into consulting. Also affecting the margin profile this year or has that become part of the baseline at this point. And as consulting business, should that affect your traditional financial model affect the ability to win larger deals? Do you expect certain newer target for on-site percentage any of those granular comments would be great?
Jason Peterson: Yes, I don't think that the consulting business itself has a specific impact on profitability or the model. And so, I think it'd be the same answer we've talked about. It's a modest evolution while it may somewhat take up the onsite percentage, it's not going - that's not what showing up in, let's say, profitable the year-over-year. From a 2019 to 2020 bridge standpoint, which I think is the question you're asking about, we feel that we really need to continue to make investments in the business to continue to grow the company at a rate in excess of 20%. And so, I think one of the real advantages of EPAM's strategy or kind of direction overtime has been to continue to evolve the business. I think we've all seen companies that maybe offer the same service of product and then overtime that offering goes stale. EPAM has continued to open all of its offerings and I think that's why the company continues to grow at this industry leading organic constant currency growth rate. We are beginning and this is maybe a little bit of new information, but we are beginning to think about what it means to be a much bigger company. So, as we exit this fiscal year 2020, we're guiding towards something approaching $3 billion in revenue. And we're already as we look at our success in the market and our position in a fast-growing market, we are beginning to think about what it means to be a company that generates $5 billion in revenue. And so, we are trying to make sure that we're making the necessary investments and taking the evolutionary steps that support our longer-term growth towards a bigger company.
Ashwin Shirvaikar: Got it. That's good to hear. And the cadence revenue growth, it seemed to me that there isn't necessarily a [indiscernible] it should continue to be a steady, no 20's, hopefully approaching mid-20's type of growth. Would you agree with that? Or that incremental comments that you might provide?
Jason Peterson: So, maybe clarify that you're saying it doesn't appear or that it does appear? I'm not.
Ashwin Shirvaikar: I'm asking for the cadence of revenue growth. What you look you expect it looks to me like the normal year from revenue growth perspective?
Jason Peterson: Yes, so I use the language to exceed 22%, which is slightly different than at least and that was intentional. And so yes, we continue to feel good about the demand environment and continue to expect to grow revenue, certainly in excess of 27. Sort of, yes, so as I said, started to exceed 22% growth rate.
Ashwin Shirvaikar: Got it. Thank you.
Operator: Thank you. Our next question comes from Ramsey Alesol [ph] with Barclays. Please proceed.
Unidentified Analyst: Hey, thanks for taking my question. I was wondering if you could give a little color on the reacceleration and growth in the Travel and Consumer segment, just talk about drivers there.
Jason Peterson: So, we had seen a slowdown in that segment, and it was across couple of customers. And so, one was a North American retailer. And the other to be honest was a range of retail and consumer goods customers in UK and in Europe. And what we're beginning to see is we think a certain degree of stabilization in the UK market. And then at the same time, we're beginning to see what we think could be some really interesting opportunities in the branded consumer goods space. And so, I think you're seeing some, I think you're still going to be in something south of 20% growth rate in the coming quarter, but you're beginning to see some improvement because we see some stabilization and we're beginning to get some interesting new opportunities in branded consumer goods.
Unidentified Analyst: That's great. And maybe that dovetails into my follow-up question, which is given the geographic diversity, you guys called out, can you give us your general read on the demand environment? Are you seeing I mean, it sounded like the things in the UK at least for you, maybe looking good at specific segment, any impacts you're seeing from geopolitical issues? Obviously, we have, from developments in Asia with Coronavirus or other situations. What's your general view of the global kind of demand environment?
Arkadiy Dobkin: I think we're trying to share our view is our kind of guidance for 2020. So, at the same time, there is some level of unpredictability which I guess we will understand, like for example, which is happening in APAC right now. There is some direct, but very minimum impact which we're seeing at this point, but indirectly, who knows what will be happening within the next couple of quarters. And even specifically on this market which Jason mentioned, like retail and luxury goods, because that might be the most vulnerable part of our market. So - but in general as we mentioned, we're looking at this pretty optimistically. We said like we want to be exceeding 22% growth, which is pretty optimistic view, I think.
Jason Peterson: So again, we continue to strong growth in West Coast hi-tech. We've had extremely strong growth in business information median. And we expect to see that type of growth in the future. Continue to see exciting opportunities in clients that we're not doing business within the life sciences and health care space. And then from a Europe standpoint, what we continue to see is that slowdown in European banking demand. But we've got a lot of interesting demand and things like Neobanks, payments we've talked about. As we've said before, insurance is growing very rapidly. So, excited about those opportunities. And now I'm going to take one quick opportunity to remind people of the European growth rate. And so, we talked about this and I just want to make certain that it's still in people's minds is that we have a large customer that has been a historic EPAM customer in the business information and media space. And it's split into two customers. And when it split into two customers, one half of the businesses is now the decision making is out of the UK. And so that customer then became a European customer. And it was not a European customer in 2018. And so, we've had very strong growth in that particular business and information media customer. The growth rate in Europe would have been 20% in Q4, without the change in that customer. And the growth rate in North America would have been somewhat higher, if that kind of geographic reclassification has not occurred.
Unidentified Analyst: Okay, great. Thanks so much. Super helpful.
Jason Peterson: You bet. Thanks.
Operator: Thank you. Our next question comes from Jason Kupferberg with Bank of America. Please proceed.
Jason Kupferberg: Hey, good morning, guys. How are you?
Jason Peterson: Good. Good. Thanks.
Jason Kupferberg: So, just wanted to start with kind of a high-level question around just when we think of trade-offs between growth and margins as a general theme, where do you guys stand on that? I mean, do you think it's plausible to have both accelerating top-line growth and margin expansion simultaneously or are we always going to generally be in more of a trade-off status between those two. And I asked this because it looks like maybe, 2020 is a case in point where top-line forecast looks terrific. You talked about some of the investments that you need to make and some of the utilization dynamics. So, maybe margins are going to be kind of flat to down. So just wanted to see how you're thinking about that on a longer-term, conceptual basis. And then if you can detail some of the reinvestments, a little bit more for 2020. That would be great. Thanks.
Arkadiy Dobkin: I think it's - the whole life was a trade-off. So, the same growth and profitability. So, I think growth for us is a primary goal. But profitability is a very important factor. And I think it's good in ways. And you're right like we're talking about specific investments because we go and like if you send back like - eight years ago when we did IPO. So, it was one company with very different profiles than today. It was like $300 million plus company today, we are approaching $3 billion. So, and obviously this investment is very simple, simple statement, investments changing necessary. I think we were talking about it all the time. And we were actually performing on this. And we saw volatility in our profitability as well. So, I think, as you mentioned 2020 for us, we will be investment here. We saw it actually, last year will be investment year as well, but we were able to run better than we expected. Q4 actually when we started to invest because we feel that we can do it. And Q1 and further will be continued. It's very difficult and I know might be not exactly what everybody wants to hear, but it's very difficult to predict exactly result of this. And that's why we're looking at this directionally and quarter-by-quarter what we will need to do and how we will need to change. If you're talking about specific investment, I think we tried to highlight those specifically. We're talking about consultancy, very important, we’re talking about our traditional investment in engineering quality because that's a kind of scale on our operation and our differentiation. We are talking about education because it's a scalability from one point of view and improving productivity relationship with clients from another point of view. And we're talking about digital platforms because we become public again eight years ago with 7000 people, now we - this year, we will be approaching 40,000 people. So, we need to think how to turn ourselves to potentially in the near future to $5 billion revenue company. So, probably a little bit more extended answers and may be even [indiscernible] answers and you would anticipate but that’s the reflection of reality of respect [ph].
Jason Kupferberg: Yeah, that's very helpful. Just a quick follow-up, I think this growth in the top five customers accelerated. And I was just wondering whether there was any change in the composition of those top five clients and is this exit rate for 2019 in that top five buckets expected to be sustainable in 2020.
Arkadiy Dobkin: That is a very natural competition across our clients to be number one, number two, number three. So, there are some changes. Okay. Jason also mentioned that one of our top clients split in two and both of them continuously grow and one of them very aggressively. So, I think there is no real changes in top five, but in total, but I mean like the position of each of them going down and up, dependent on even quarters or years. And clearly there are some new faces in our top 10 and top 20.
Jason Kupferberg: Thank you.
Operator: Thank you. Our next question comes from Bryan Bergin with Cowen. Please proceed.
Bryan Bergin: Good morning. Thank you. Wanted to ask on the NAYA Tech integration, can you give us some detail there, it sounds like the contribution may even stronger than you expected.
Arkadiy Dobkin: Hey, it was a little bit stronger than we expected but it's also in kind of the same range, some of them, and it is very new for us, it just second quarter I believe, when it's happening. So, it's too early. And one good project, good - and this is relatively small deal. So, one big project can change the whole parameters. So, I think it's doing better than we anticipated. And I think it would be good in 12 months to talk about it, but it's kind of very much in line it is our expectation on capabilities point of view and what is bringing to us and how it has helped us.
Bryan Bergin: Okay. And then just to follow up on margin here, so can you talk about how you think about longer term SG&A leverage potential. I get the sense you're making the investments here now as you think about the needs of a 5 billion revenue entity, but assuming relatively stable gross margin levels, just curious how we should be thinking about the model from the ability to drive leverage elsewhere.
Jason Peterson: Yeah, so, what we've been guiding to is this kind of 18% to 19% range on SG&A as a percentage of revenue, and I think probably in 2020, and maybe even into the next year, you'll continue to see the type of investments that it takes to transform and make EPAM be adaptive organization, or the increasingly adaptive organization that are prefer to. I think that's probably, maybe a multiyear cycle with an opportunity for some improvement, potentially, after that. So, as I said, it's kind of goes in waves. So, I think this is going to be a bit of an investment year, you might still see some more of that in 2021. And then as we continue to ramp revenue at a $5 billion company you do have a potential to sort of look at and readjust your model.
Bryan Bergin: Okay, thanks guys.
Operator: Thank you. Our next question comes from Surinder Thind with Jefferies. Please proceed.
Surinder Thind: Good morning, gentlemen. Just a quick question on terms of just generally the way that you guys are thinking about revenues and guidance, are there any risks or things that you've accounted for your guidance related to maybe, let's say election related activity in the U.S., depending in how that race unfolds? Or are there other events or things that we should be thinking about that might potentially impact the numbers there - especially in the part -
Arkadiy Dobkin: I don't think - I don't think we're thinking about election impact when we're talking about -and if you're talking about election, it's also very difficult questions then we neglect to think about elections in very many geographies as well. But we generally clearly looking at our experience and political situations in different geographies with ways to now understand an experience of the past.
Surinder Thind: That's helpful.
Arkadiy Dobkin: So, the visibility continues to be in the - let's call it the 80% to 90% range. We've guided, as Ark said, with our assessment of the near-term kind of direct impact of what's going on in Asia Pac. So, we have kind of modelled a little bit of a slowdown in our business at Hong Kong and China. We haven't necessarily modelled a more substantial sort of global growth slowdown. But we clearly have been kind of prudent and we - David and I spent a lot of time doing sort of channel checks and working with each of the individual business units. And consistent with what I said with one of your earlier questions is we continue to see very strong demand in the life science and health care space. We continue to see interesting and very exciting opportunities in IoT. We've got a whole series of different types of financial services opportunities that are outside of the traditional kind of banking environment, which is why you see our financial services practices performed the way it does relative to maybe some of our peers. We continue to see that very strong growth that we've talked about in business information and media. And so again, and then finally we continue to have a lot of growth and our west coast high tech clients. And so, we feel good about the business. And again, the thing that I think I'm always comforted by is that our demand is broad based across a wide range of industry verticals are not dependent on growth from one or two customers or one specific vertical to make our 22% - in excess of 22% growth rate.
Surinder Thind: That's helpful. And then in terms of just kind of thinking about your cash levels. I guess there's some talk about M&A for a while now. Any additional color you can provide there in terms of pipelines or the quality of targets that are out there? Is it simply that you guys are having a challenge finding the right fit - the right cultural fit, the right group of people or is there some valuation issue considerations here? How should we think about your M&A stuff?
Jason Peterson: It probably could be all of the above. But I think that for us, we have done I think a larger number of kinds of smaller acquisitions in fiscal year 2019. There is more open mindedness based on some of the success that we've had with those acquisitions or deals that could be of a somewhat larger size. And I think you might see some of that in 2020. But as you've indicated, I think our most important filter really is this sort of cultural fit, whether it's a business, it's going to bring something to EPAM and whether the management team is still motivated and is excited about the opportunity to join EPAM and continue to grow our collective organizations. And so, a lot of times I think that's probably the filter where we sort of might step away from a transaction. Because we want to make certain bet that the fit is good, and it is going to produce positive outcomes for the employees of both companies.
Surinder Thind: Thank you.
Operator: Thank you. Our next question comes from Darrin Peller with Wolfe Research. Please proceed.
Unidentified Analyst: Hey, good morning, guys. This is Andrew [ph] on behalf of Darrin. Wanted to home in on the account cohorts with regards to the revenue size. Look, the 57% growth you saw in 2019 and the $20 million plus is really impressive. I guess I'm trying to parse out, what is the clients that are just graduating from the lower tiers and versus incremental wins. And then my follow-up will be, the platform strategy over the last couple of years is clearly working in the market. And how should we think about the spend curve with regards to the second derivative of spend within those accounts, be it in the product development technology and engineering, offerings you guys have.
Arkadiy Dobkin: Can you go with the first question?
Jason Peterson: I'd go with the first. So, in the case of the - I guess the transition of the cohorts is that, it's kind of a combination of things as well. We've talked about over time where we do have, you know many of our clients who may, may look small on our charts are actually, you know, large global corporations that have significant opportunities for EPAM and we continue to grow inside those opportunities. So, what we've always talked about is we grow from existing relationships and we also grow due to the introduction of new relationships. So, you've got some of growth within companies that have been EPAM customers for period of years. Then what you also have is a couple of companies where you've had this real rapid growth. We talked about the business information and media in Europe. We've also had some, another very significant grower and the business information and media space in the United States. And so, it's kind of a combination of a couple of new customers and this growth. So, hopefully that answers that question. And then Ark?
Arkadiy Dobkin: And the second question, if I understand correctly, it was about our involvement in building platform. Is that correct?
Unidentified Analyst: Yeah, that's right. I mean it just obviously that seems to be the tip of the spear and in some circumstances. And I'm just curious on how that, how you've seen that translate into incremental spend in the other offerings that you have and for those clients?
Arkadiy Dobkin: Well, first of all, we definitely have ambition to be kind of main orchestrator for these types of programs when clients need it. And I think we were explaining is that we do believe that we have right experience, the right capabilities for this specifically coming from our product engineering background initially and then helping kind of digital reborn companies to build internal products, internal platforms. So, I understand their needs for scalability and flexibility and complexity of this. And that's what we are actually trying to put together, the right orchestration level from consultancy, from business perspective to technology and experience perspective and be very strong engineers to do it. And I think that works for us because a portion of these type of deals is increasing and we see in, it is strong demand for these capabilities specifically in more traditional corporate market where people has to move to this direction to protect the land each day. So, I don't know exactly what you tried to extend, but I think is proportionally increasing part of our business and basically our main goal, how to become a leader in this space.
Unidentified Analyst: No, that's helpful. Congratulations on another impressive year. Thanks guys.
Operator: Thank you. Our next question comes from Arvind Ramnani with KeyBanc Capital Markets. Please proceed.
Arvind Ramnani: Just a quick question on here, given your expanded services and consulting, are you're seeing increased visibility and downstream revenues and, and also with this increased consulting, are you seeing a different set of competitors?
Arkadiy Dobkin: We see significant change in competitor's landscape because we were like all our larger players, they have multifunctional areas and we were competing with them just in different segments, but now we compete in more kind of value chain component of this as well. And visibility is a very difficult, difficult question. We clearly now getting into the programs where we potentially see opportunities from a different perspective that we make an impact on the client in different perspective. So, if it's giving us a better predictability based on the numbers, you can see that we probably in a very similar position as before, but my addressable market and now scale is increasing. So, I think it's proportionally working well for us because all this capability improvement and all investments which we’re doing, it's confirming our ability to grow 20 plus percent. That's the point.
Arvind Ramnani: Great. And certainly, your guidance is very strong for 2020. But I wanted to clarify, is that all organic is any inorganic component to what you're guiding to?
Jason Peterson: Yeah, no, that's a great question. And so, again, what we're saying is, we will exceed 22% growth, which as I said earlier, is slightly different language and intentional versus the at least we've used in the past. And we believe about based on the acquisitions that we have today about 1% would be from the inorganic kind of component. And then just kind of reconfirming the profitability guidance in the 16% to 17% range that we intend to operate in the range, rather than at the top of the range the way we did in 2019.
Arvind Ramnani: Perfect. Good luck for 2020
Jason Peterson: Thank you so much.
Operator: Thank you. Our next question comes from James Friedman, with Susquehanna Financial Group. Please proceed.
James Friedman: Hi, thank you. And let me echo the congratulations. I just wanted to ask two things. Ark, in your prepared remarks, you really were emphasizing the product development conversation, I realized that is been core to the company since your origins but when you made the comment that your clients are more interested in building versus buying their technology, I was just hoping you could frame that in the context of the cloud. I'm sorry to ask that but is like our clients building more because of the cloud or is there something else going on? And then let me just ask my second one, get it out of the way. The fixed price did increase as a percentage of revenue and it's higher now than I can remember. Is that due to the same thing? Or is there something else going on there? So, the…
Jason Peterson: Let me answer the easier question first, which is fixed fee. And I'll let Ark deal with the complicated topics. And so, the increase is primarily due to growth in a couple of larger accounts, where we've got these fee structures that are that adjust based on team size. And so, there's kind of a fixed monthly fee based on the composition of the team. If the team size changes up or down, it changes the fixed monthly fee. And that's why you're seeing this sort of shift towards higher sort of fixed fee, but it's not a classic multiyear fixed fee where we committed to do something for $20 million over a time period, so it's much less risky. And again, if in month two, the team size is taken up, then the fixed fee goes up. So, it's I would call kind of a subtle variant on a time and materials, but we've chosen to classify it as fix fee.
Arkadiy Dobkin: Yeah, on the first part of the question. So, build versus buy. So, I think this kind of direction started to become much more visible when companies started to compete not on efficiency of the workload separation, but on the efficiency of engagement engine basically. Consumer or client-oriented part of the digital ecosystem. And when you go into your clients and compete for this market, you need to differentiate ourselves much, much stronger than [indiscernible] on the efficiency style. So ideally, both parts would be very well coordinated. And finally started to talk about the important of this system of engagement, differentiation, flexibility and constant update. Times it goes, that's what I mentioned like this report from 2015. So, and when is happening then you can adjust use a standard enterprise package software, you have to customize it to very big extent and sometimes this customization even doesn't make sense. So, you need to like to utilize multiple components and you build in the system and this platform correctly then you neglect to integrate this component in such a way to be replaceable because technology changing in next couple years, this component will be obsolete and somebody will get an advantage. And that's what we're talking about when we mentioned built versus buy. So, nothing new, but to do it you need to have a very strong engineering product, engineering with route. It's not just configuration, it's not just switching some check boxes. So, and I think, why the way performance - the way we perform during the last multiple like years was due to this engineering capabilities and we don't want to lose it. But we also need an additional one because differentiation is also coming from experience and from business models. And all of this together for us is a built.
James Friedman: Got it. Thank you, both.
Jason Peterson: You bet.
Operator: Thank you. Our final question for today comes from Joseph Foresi, with Cantor Fitzgerald. Please proceed.
Joseph Foresi: Hi, I'll make sure it's short given how long the call is. Just a couple of quick ones, one, we talk a lot about the verticals that are doing well, but I'm curious what transformation product or what transformation areas are customers most interested in these days. I know when digital began, it was a lot about the consumer. But I'm wondering what you're doing from sort of a product development perspective. And then I have just one quick follow-up.
Arkadiy Dobkin: This is a big question, which I don't know how to answer in kind of 30 seconds or two minutes, because unfortunately, the answer would be very, very generic and we will be talking about analytics and data and potentially IT and cloud. So basically, the answer will be too generic in this term, unless we have real conversation.
Joseph Foresi: So, let me ask it a different way. Has the type of transformation changed since you were $300 million company and my follow-up would be are you finding the proper skill sets for that type of change?
Arkadiy Dobkin: I assume from $300 million company to current state, then it answers will be very similar to what I was given like several minutes ago because this notion of system of engagements. And when we were $300 million company, we were mostly product engineering extension for our clients versus right now we're building the core solutions where we are bringing this differentiation. And that's why on top of engineering skills, we need all this additional lap. And that's the main driver and the main goal for us to bring value there. So, that's the biggest difference, incorporating all this new technology as we change it, like very quickly.
Joseph Foresi: Got it. And then do you feel like you have the skill set, particularly on the outer edges where you're looking at more…
Arkadiy Dobkin: And that's part of this wave and this is part of the training because that's why we're talking about education. And my typical answer during all these quarters was now there is not enough skills, but we are finding the way how to train and build them because we also very interested in fundamental knowledge of our employees. So, it's not just people who train for three months on something, we have a talent which we're able to retrain or direct, direct in right kind of area to get new skills. And again, this is back to our educational training purposes.
Joseph Foresi: Thank you.
Operator: Thank you. This concludes our question-and-answer session for today. So, I'd like to turn the floor back over to management for any additional concluding comments.
Arkadiy Dobkin: So, thank you. Thank you, everybody. As usual, we’re pleased with our 2019 results. We continue to grow; we confirm in our ability to grow at the extent of 20%. And thank you to your support and thank you to all of our 36,000 people globally and let’s talk in three months. Thank you.
Operator: Thank you. Ladies and gentlemen, this does conclude today's teleconference. Again, we thank you for your participation and you may disconnect your lines at this time.